Operator: Good day, everyone, and welcome to the Sysco Fourth Quarter and Fiscal Year 2012 Conference Call. As a reminder, today's call is being recorded. We will begin today's call with opening remarks and introductions. I would now like to turn the call over to Neil Russell, Vice President and -- of Investor Relations.
Neil A. Russell: Thank you, Danielle, and good morning, everyone. Thank you for joining us for Sysco's Fourth Quarter and Fiscal Year 2012 Conference Call. On today's call, you will hear from Bill DeLaney, our President and Chief Executive Officer; and Chris Kreidler, our Chief Financial Officer. Before we begin, please note that statements made in the course of this presentation that state the company's or management's intention, beliefs, expectations or predictions of the future are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could differ in a material manner. Additional information concerning factors that could cause actual results to differ in a material manner from those in the forward-looking statements is contained in the company's SEC filings including, but not limited to, risk factors contained in the company's annual report on Form 10-K for the year ended July 2, 2011, and in the company's press release issued earlier this morning. On the call today, if you've joined us via webcast, you'll notice that we are supplementing our comments with a slide presentation. You can download a copy of the presentation by going to the Investors section of sysco.com. Non-GAAP financial measures are included in our comments today and in the presentation slides. The reconciliation of these non-GAAP measures to the applicable GAAP measures are included at the end of the presentation and can also be found in the Investors section of our website. All comments about earnings per share refer to diluted earnings per share unless otherwise noted. In addition, all references to case volumes include total Broadline and SYGMA combined. Lastly, I encourage you to download our new Investor Relations app from either the Apple iTunes store or for Android at Google's Marketplace store. Just search for Sysco IR app to have easy access on the go to all of our filings and important investor material. At this time, I'd like to turn the call over to our President and Chief Executive Officer, Bill DeLaney.
William J. DeLaney: Thank you, Neil, and good morning, everyone. This morning, Sysco reported sales and net earnings for the fiscal year of $42.4 billion and $1.1 billion, respectively. Earnings per share was $1.90. Excluding certain items, adjusted earnings per share for our underlying business was $2.13, representing a 4.4% increase year-over-year. Sales grew 7.8% for the year as case volume growth of 3% and product cost inflation of 5.5% contributed to the highest annual sales level in our history. Earnings growth was not as strong as pricing pressures resulted in only modest gross profit dollar gains. However, we did experience improved expense management in the fourth quarter and expect to continue that trend in the new fiscal year. Cash flow from operations approximated $1.4 billion, a significant improvement over our performance in the prior year. On the capital investment front, we recently completed construction and began shipping from 3 new and more efficient distribution facilities, a 420,000-square-foot facility outside of Boston, a second 420,000-square-foot facility located between Austin and San Antonio and a 240,000-square-foot facility on Long Island. All 3 of these operating companies are located in large markets that provide tremendous growth opportunities for Sysco. Looking forward, we remain totally committed to profitably growing our business in the $225 billion market that we serve today. While industry growth is expected to remain modest, we are highly focused on strengthening and expanding our customer relationships, as well as reducing the cost structure of our underlying business. To do so requires transformational change in all aspects of our business. Successfully deploying a new and enhanced technology platform is a foundational component of such change, and we continue to progress on that front. Specifically, we recently converted our East Texas operating company to our new ERP system in late July, our third location to go live. We are pursuing a market-based approach for our rollout schedule, which we believe will enhance the conversion process in 2 key ways: First, we have more -- we will more effectively leverage our market leadership team; and second, the close geographic proximity of the operating companies will permit us to utilize all of our resources in a more flexible and efficient manner. As a result, our next 5 planned conversions will be facilities in Texas and Louisiana, all of which are expected to occur this fiscal year. As conversions have occurred, we have become increasingly encouraged with the ramp-up in services provided and the quality of service at our Shared Business Services center, or SBS, here in Texas. SBS is staffed and effectively supporting our 3 converted companies with multiple centralized functions, including financial support, replenishment, national account pricing and a customer support call center. We have also begun to make progress on our key business transformation cost reduction initiatives. These initiatives focus on improving productivity in our operations, selling and administrative areas, as well as lowering product costs. For example, each of our Broadline operating companies has already taken action in a variety of areas and begun to implement processes designed to enhance productivity in delivery and warehouse operations. On the SG&A side, after careful and thoughtful analysis, we have elected to restructure our domestic nonunion retirement programs. Specifically, effective December 31, we will significantly enhance our 401(k) plan and freeze our nonunion-defined benefit pension plan. The enhanced 401(k) plan will provide benefits to our associates that are highly competitive in the marketplace in a manner that results in meaningful cost savings to Sysco over time. Chris will discuss the financial savings in a moment. On the product side, we are moving forward with developing our category management process, including preparing to pilot several food categories. Returning value to our shareholders remains a top priority for Sysco. We recognize that our dividend represents a significant component of Sysco's shareholder return, especially as we navigate through the transformational changes I noted earlier. Accordingly, we increased our dividend during this past year, the 42nd time since our founding in 1970. In total, we distributed $623 million in dividends to shareholders during fiscal 2012. Looking back on 2012, it was clearly a year of transition for Sysco. While fiscal 2013 will undoubtedly provide its share of challenges, we are excited about the opportunities that lie ahead to profitably grow our core business and expand beyond the core over time. In closing, I want to thank all of our associates for their efforts this past year in supporting our customers. Their contributions going forward are critical to fully realizing Sysco's vision to become our customers' most valued and trusted business partner. Now I'll turn things over to Chris so he can provide additional details on our financial results for the fourth quarter and fiscal year.
Robert C. Kreidler: Thanks, Bill, and good morning, everyone. For the fourth quarter, sales were $11 billion or an increase of 5.9% compared to the prior year, driven equally by case volume growth of 3.4% and food cost inflation of 3.3%. Excluding acquisition, case volume increased 3.3%. In addition, acquisitions within the last 12 months increased sales by 0.6% and changes in foreign exchange rates decreased sales by 0.5%. During fiscal 2012, we completed 9 acquisitions, representing nearly $270 million in annualized sales and met our goal of increasing sales by 0.5% to 1% through acquisitions. Nearly 20% of our new case growth came from acquisitions in fiscal 2012. We have a number of additional acquisitions at various stages of completion in our pipeline and are targeting to increase sales in excess of 1% through acquisitions in fiscal 2013. Gross profit in the fourth quarter continued to be pressured by an intensely competitive market. Gross profit in the fourth quarter increased 2.9%, but gross margin decreased 54 basis points year-over-year to 18.2%. Fuel surcharges provided no benefits to year-over-year comparison as surcharges were comparable in both periods. Gross margins have historically increased in the fourth quarter compared to the third quarter, but we broke that trend in the fourth quarter of 2011. We are encouraged the gross margin increased 39 basis points from the third quarter to the fourth quarter of this fiscal year, which is more in line with historic trends. Operating expenses increased $103 million or 7.4% in the fourth quarter of fiscal 2012 compared to the prior year period. This increase included $23 million in certain charges that were mainly related to the withdrawal of one of our operating companies from a multi-employer pension plan or MEPP. Excluding these certain charges, operating expenses increased $80 million or 5.7%. Operating expenses were also impacted by a $38 million increase in gross business transformation expense and a $20 million increase in salaries and related costs. Operating income decreased $45 million or 8.1% driven by a decrease in gross margin, partially offset with gains in case volume. Excluding the certain items that I mentioned previously, operating income decreased 4%. Net earnings for the fourth quarter were $309 million, a decrease of $27 million or 8% compared to the prior year. Diluted EPS was $0.53, a 7% decline compared to the prior year. Excluding certain items, diluted EPS was $0.55. As we have discussed on previous calls, we believe it is important to focus on the performance of our underlying business, which not only excludes certain items but also excludes business transformation expenses and the impact of COLI. As a reminder, COLI had a minimal positive impact on our results in fiscal 2012 but had a significantly more positive impact in fiscal 2011. Adjusted operating expenses, which excludes these items and better reflects our underlying business performance, increased 3.3%; and adjusted operating income increased 2.2%. Net earnings on this basis grew 3.7% to $367 million and EPS grew 3.3% to $0.62. Turning to the year-over-year comparison. Sales increased 7.8% or $3.1 million, due mainly to inflation of 5.5% and case growth of 3%. Food cost inflation declined steadily throughout the year from 7.3% in the first quarter to 3.3% in the fourth quarter. Excluding acquisitions, case volume grew 2.5% for the year. In addition, sales from acquisitions increased sales by 0.7%, and changes in foreign exchange rates did not have a meaningful impact. Gross profit increased 3.8% during the year while gross margin decreased 69 basis points year-over-year to 18.1%. The decline in gross margin was due to high inflation combined with weak restaurant traffic, competitive pressures, segment mix and a more aggressive go-to-market strategy. Operating expenses increased $323 million or 5.9% in fiscal 2012 compared to fiscal 2011. Operating expenses for both years were impacted by certain items primarily consisting of MEPP withdrawals. In fiscal 2012, these certain items were approximately $13 million lower compared to the prior year. Excluding these certain items, operating expenses increased 6.2%. Operating expenses also included $147 million increase in salaries and related costs due to increases in delivery and sales compensation, increased volume in acquisitions, a $91 million increase in gross business transformation expenses and a $40 million increase in fuel expense. These increases were partially offset by a $27 million decline in corporate-sponsored pension plan expense. Cost per case in our Broadline Companies was up $0.04 year-over-year. This was mainly due to increased delivery costs, including a $0.02 increase related to an increase in fuel price. Operating income declined $41 million or 2.1% for the fiscal year. Excluding certain items, operating income declined 2.7%. Net earnings for fiscal 2012 decreased $30 million or 2.6% compared to the prior year. Fiscal 2012 EPS was $1.90, a decline of 3.1%. Excluding certain items, EPS was $1.93. To summarize the performance of our underlying business, adjusted operating expenses increased 4.1%, adjusted operating income increased 3%, adjusted net earnings grew 4.7% and adjusted EPS grew 4.4% to $2.13. Turning to the impact of the Business Transformation Project for a moment. In the fourth quarter of fiscal 2012, gross project expenses totaled $70 million, and we capitalized $23 million related to the project. In the prior year quarter, gross project expenses totaled $33 million, and we capitalized $49 million related to the project. For fiscal 2012, expenses for business transformation are $193 million compared to $103 million in fiscal 2011, and total capitalized amounts were $146 million compared to $196 million in the prior year. As we discussed during our Investor Day, we expect cash flows to improve significantly over the next several years due to our business transformation initiative and improved working capital management. Cash flow from operations for fiscal year 2012 was $1.4 billion an approximately $300 million or 29% increase compared to $1.1 billion in the prior year period. This improvement was due mainly to improved working capital management and lower tax payments during the year. Working capital has improved year-to-date due mainly to smaller increases in accounts receivable and inventories this year compared to the prior year. This is due to improvements in DSOs for receivables and inventory, partially offset by a decline in accounts payable DSOs. Of note, we paid our final IRS tax settlement payment during the fourth quarter for a total of $212 million during this fiscal year and $952 million over the last 3 years. The completion of these settlement payments will have a significant positive impact on our cash flows in future periods. Capital expenditures totaled $152 million for the fourth quarter and $785 million for the fiscal year. We had 4 new facility projects during the year, including the facilities Bill discussed earlier, which were completed during the year, as well as a new facility under construction in California that we expect to be complete late this fiscal year. This is compared to having only one such major project underway in the prior year. In addition, capital expenditures related to our Business Transformation Project increased by $50 million year-over-year. Free cash flow increased 36% or $165 million to $620 million. During the quarter, we accessed the capital markets with very attractive rates, completing a bond offering of $750 million. The transaction was completed in 2 tranches, $300 million of 3-year securities at 65 basis points, the lowest rate ever achieved for a 3-year deal at the time and $450 million of 10-year notes at 2.6%. The effective rate for the entire issuance was around 2%, a continual reminder of the strength of our balance sheet and cash flows. Before closing, there are few guidance metrics for fiscal 2013 that I'd like to provide. First, based upon current market conditions and external forecasts, we expect fuel expense to be relatively flat year-over-year; second, regarding business transformation. As we shared with you at our Investor Day, we expect gross business transformation expenses, net of direct benefits related to SBS, to be approximately $300 million to $350 million for the year, including the amortization of project costs. As Bill mentioned, we are now in the deployment phase of our new ERP system. And so this month, we began to amortize the capitalized costs related to the development of this system over a roughly 7-year period. The majority of work occurring going forward is expected to relate mostly to conversion and training, which is expensed for accounting purposes. As a result, you'll see a decline in the amount of capitalized spend on our Business Transformation Project going forward. This year, we expect to capitalize roughly $5 million to $20 million, which is $130 million to $140 million lower than our capital spend for fiscal 2012. As we outlined at our Investor Day, we expect that we'll achieve $550 million to $650 million in annualized benefits from business transformation by fiscal 2015, of which we expect to achieve roughly 25% in fiscal 2013. As Bill said earlier, we have begun to make progress on all of our key business transformation initiatives. Third, total CapEx for fiscal year 2013 is expected to be approximately $600 million to $650 million, which is substantially lower than the $785 million we spent in fiscal 2012. Lastly, I want to address pension expense for fiscal 2013. As we were developing our 2013 financial plan, we learned that we were facing more than $100 million in additional pension expense for next year, primarily driven by continuous declines in interest rates. This substantial increase would have been in addition to the significant increases in 2 of the last 3 years. We determined we needed to carefully review our retirement programs. As a result of our analysis, as Bill discussed earlier, we announced this morning that we made the decision to freeze our defined benefit pension plan effective December 31 and simultaneously enhance benefits to employees under our 401(k) or defined contribution plan. The net impact of these changes will result in the roughly $25 million in additional retirement expense in fiscal 2013. While still an increase, this represents a more than $80 million cost avoidance. It's important to note that the net impact of these changes in our retirement plans will not be even across the quarters during the year. Retirement plan expense in the second half of the year will be higher than the first half. Because these changes become effective at the midpoint of fiscal 2013, we estimate that our retirement plan expenses will be lower in 2014. In closing, while fiscal year 2012 was a year of transition, we continue to stay focused on our future. Fiscal 2013 will be another critical year for us as we work through the first round of ERP deployment and begin to realize benefits from several areas of our business transformation plan. Sysco has been a leader in the industry for over 40 years; and while the change we are undergoing is difficult and requires a substantial investment, it is important to the future success of this company. All of us here at Sysco are focused on transforming the company and believe that this will enable us to further strengthen our financial results over time and enhance our industry leadership position. With that, operator, we'll now take questions.
Operator: [Operator Instructions] And our first question will come from John Heinbockel with Guggenheim Securities.
Steven Forbes - Guggenheim Securities, LLC, Research Division: It's actually Steve Forbes on for John today. Just a couple quick questions. The sequential improvement in gross margin this quarter, is that tied to getting more pricing through or a conscious effort to pull back on some promotional spending?
William J. DeLaney: I think, Steve, it's just some modest improvement on our part in terms of execution. As Chris pointed out in his comments, there's a seasonal flow that we tend to participate in as you go into the summer, and I think that helped as well. So I think we're executing somewhat better. I don't think there's anything dramatically different in terms of the promotional spending.
Steven Forbes - Guggenheim Securities, LLC, Research Division: Okay. And now when it comes to the inflation and pricing for next year, how do you keep your marketing associates focused on gross profit dollar growth and/or case growth?
William J. DeLaney: Well, the way our commission program works, the bulk of our marketing associates are paid on commission, and the biggest factor in that commission is gross profit dollars per delivery. So we continue to tweak that particular model as time goes on to do just what you're suggesting here, which is to keep us focused on growth and quality growth. But the bottom line is they're highly incentivized to service our customers well, but at the same time to strike the right balance between sales and gross profit dollars.
Steven Forbes - Guggenheim Securities, LLC, Research Division: Okay. And then just lastly on case growth. Did you see any change from June to July in case volume growth, I guess, after what some of the restaurant operators reported last week?
William J. DeLaney: We don't comment on inter-quarter type of developments, but I would tell you that certainly, we service pretty much the whole spectrum of the marketplace, and you can see that we saw somewhat of a slowdown in the fourth quarter. Pricing eased a little bit as well, which was good, I think, but at the same time, our top line fell off some, and I think we're going to experience, to some degree, what you're seeing from some of the other people in the space.
Operator: And our next question will come from Greg Badishkanian with Citi.
Alvin C. Concepcion - Citigroup Inc, Research Division: Alvin Concepcion for Greg. Just wanted to ask another question related to the margin, gross margin. Sounds like there hasn't been much of a change in the promotional spending. What's your outlook on promotional spending in fiscal '13? And would you expect a year-over-year improvement in gross margin next year?
William J. DeLaney: Okay. Maybe I should take a minute and let's talk about promotional spending because that's 2 questions right off the bat. As far as I know, we don't really talk about promotional spending. So the bottom line is we do promote -- we have various marketing vehicles that we promote locally and to some extent here at corporate. That hasn't changed to any large extent over the last quarter, over the last year. I think as we've talked about margin pressure over the last 12 to 18 months, we've attributed a lot of that to the challenges of passing along mid to high single-digit rates of inflation in a marketplace that's still pretty fragile and just kind of an uneven business recovery on top of that. So I think -- I don't think this really has much to do with promotional spending. The bottom line is we're out there competing. We feel very appropriately and very aggressively in a pretty challenging marketplace. And we saw improvement, as you saw, and pointed out in the fourth quarter and certainly as we talked about in May, we expect to continue to improve those trends. But I don't believe that we've indicated in any way that we would expect to be over last year's gross profit.
Alvin C. Concepcion - Citigroup Inc, Research Division: I see. And on the promotional spending front again, I mean, that's from your end, what about from the competitive standpoint? Are you seeing any changes there relative to last quarter?
William J. DeLaney: I'm sorry, could you repeat that question?
Alvin C. Concepcion - Citigroup Inc, Research Division: Yes, I'm just wondering if the competitive promotional environment has changed very much relative to last quarter.
William J. DeLaney: I don't think so. Again, I'm going to just attribute that to kind of the competitive environment. And we see different things in different parts of the country, and frankly, we see different behavior with different types of competitors. As you know, we deal with very large regional, national-type competitors, and then there's a lot of niche players as well. So I have to tell you that the environment remains very challenging from a competitive standpoint, and we expect it to continue that way. But I wouldn't say it's changed a whole lot.
Alvin C. Concepcion - Citigroup Inc, Research Division: Okay, great. And then the case volume growth in the quarter, it accelerated relative to last quarter, and obviously, I think you mentioned that you might see some more -- the weak restaurant traffic impact your results. I mean, can you talk about what some of the drivers were in the quarter in that accelerated improvement in case volumes?
William J. DeLaney: Well, I think in this particular quarter, I don't know if there's anything particularly different than any other quarter. We're highly focused, as we've talked about at length over the last several calls and in our public presentations, on the importance for Sysco as a leader in the industry to continue to take share and to do that profitably. But we've got 8,000 marketing associates out there on the street. We've got a strong sales management team. We have great leadership throughout the country and in Canada, and we work very hard in staying close to our customers. All the basic things that we talk about every time we have an opportunity to speak publicly from menu analysis to good quality business reviews to a very focused time with our salespeople spending with their customers. Those are things that we feel we do better, by and large, than our competition. And as a result, that allows us to grow the business. So with that said, still very competitive and we still have some opportunity to work on our pricing and margin management.
Operator: And next, we'll hear from Ed Kelly with Crédit Suisse.
Edward J. Kelly - Crédit Suisse AG, Research Division: Can I just start on the volume side, that 3.3% case volume growth. Can you talk about how that compares to sort of like the true underlying trend, and what I'm getting at is, an easy comparison this quarter versus last year. Did that play a role? Does weather and calendar play any role in this? And just, could you just give us a sense as to where you think the true business is running sort of underlying all that today? Is it really that level?
William J. DeLaney: Well, yes, it is at that level. We'll take credit for it. I think going to your point, as you go back and look at the latter part of last fiscal year, maybe even the first quarter this year, the volume trends were a little bit more modest. And frankly, that led to us becoming more aggressive as we've talked about here in the last 2 or 3 quarters. So I would tell you that yes, we grew the cases 3%. Part of that was acquisitions, which we feel is a big part of our arsenal. And I wouldn't overweight comparisons when you're talking about the difference of 1% maybe from 1 year to the next, that type of thing. So we feel good with the volume, and we'll take credit for it.
Edward J. Kelly - Crédit Suisse AG, Research Division: And it sounds like, and I don't want to put words in your mouth, Bill, but it sounds like so far in the current quarter, things, just generally speaking, haven't been great but maybe haven't gotten worse. Is that how I should read that?
William J. DeLaney: Things are always great here at Sysco. But no, look, the market, what I'm trying to tell you here without getting into a disclosure area that I can't, is that we're going to participate in what goes on in the market. So I expect us to continue to grow cases. I expect us to take share and to some extent, as we've talked about in terms of our medium to longer-term outlook, we are going to be impacted by the market itself. So to the extent that we see a slowdown as this quarter proceeds, I'm sure we'll feel that to some degree.
Edward J. Kelly - Crédit Suisse AG, Research Division: Okay. And then on gross profit dollar growth relative to case growth, this was another quarter where it was slightly less, and I know that's not your long-term goal. So could you maybe just walk through a little bit what was the driver there? And then how long do you think it takes to get us to the point where gross profit dollars maybe are doing a little bit better than volumes again?
William J. DeLaney: Well, we need to get there. It's the bottom line. It's a very fair question. So the way I look at it is we did better in the fourth quarter than we did in the third in terms of that particular relationship but not good enough. So we need to continue, as I mentioned a question or 2 ago, to strike a better balance between the case growth and the gross profit dollars. So I'm encouraged that we saw some modest improvement but there's a ways to go. And all I can tell you is that we're highly focused on it here as a management team and throughout the country, into our sales management and into our sales force. So it's a delicate balance in terms of the economy and the marketplace and trying to be responsive to the needs of our customers, but we certainly see that as an issue and an opportunity for improvement.
Edward J. Kelly - Crédit Suisse AG, Research Division: Okay. And then on the MEPP side, maybe could you give us a little bit more color on the charge this quarter? And then within your 10-K last year, you disclosed about a couple hundred million dollar withdrawal liability. And I'm just curious as to how that's calculated. Is that your actuarial value of the underfunding? And could you also give us some sense as to what you think the fair value of the underfunding might be at this point?
Robert C. Kreidler: That question just got worse and worse.
William J. DeLaney: Time for Chris to answer a question there.
Robert C. Kreidler: Started off I said, I can do this one and then you just took it down the rabbit hole. Let me see if I can help. The charge this quarter was related to Cleveland. So 220 employees at our Cleveland operating company withdrew from the Cleveland Bakers and Teamsters plan, and therefore we recorded a withdrawal liability of approximately $17 million. We did have some liabilities earlier in the year that were basically true-ups of prior year withdrawals. And the way that works is you have to record the liability at the value that you know when the withdrawal was actually made. But then, each quarter thereafter there are going to be true-ups until you actually are allowed to withdraw from that particular plan, which can be 1.5 years later. So I think that's the first part of your question. The second part, we've generally recorded in our 10-K roughly $200 million of liability. I wouldn't call that an actuarial. That is basically our assessment of the materials that we get from those plan trustees about the status of their plans. We don't manage those plans, we just get materials. And unfortunately, it takes a long time for us to get those materials. We're still stating that liability based upon materials that are as old as year-end 2009 to 2010, so they're just not given to us very timely. And the 10-K that you'll see in a couple of weeks, we'll update that number, which is just, as we described it, it's the total withdrawal or the potential liability if we withdrew from all the plans, which is, of course, not something we would ever foresee doing. But then under new guidelines, we're required to put down a number that we believe is related to plans from which we would reasonably, possibly, either voluntarily withdraw or there would be a mass withdrawal. That number is about half that $200 million. It's about $100 million. Did that get close to answering your question?
Edward J. Kelly - Crédit Suisse AG, Research Division: Yes, I think. And I think when your K comes out, we'll probably be able to do more work on that as well. Another question for you on the national account pricing. I don't -- I'm not sure if I heard this correctly, but it sounded to me like you had suggested that pricing would be moving to the SBS level. Is that right?
William J. DeLaney: No, not the negotiation of pricing or the relationships. We handle our contract customers in various ways, but we have a significant group that works out of the corporate office that covers what we call corporate multiunit, and then we obviously have regional and local chains that we tend to handle those relationships locally through the operating companies. What's going on at SBS is more just the facilitation of the processes themselves.
Edward J. Kelly - Crédit Suisse AG, Research Division: Okay. And one last question for you here. Your CapEx guidance, I think, was a little bit higher today than at the analyst meeting. And then related to that, with the IRS payment being done, you should start generating some free cash flow again. So the question is, what do you guys plan on doing with that free cash flow?
Robert C. Kreidler: The CapEx actually is in line with what we talked about at Investor Day. You're focused on the $600 million that I showed at Investor Day, but right underneath that was a line for business transformation capitalization, which was a range of $5 million to $20 million. So depending on where you are in that range, we just put a range around CapEx, $600 million to $650 million. Nothing has really changed in the assumptions that we're using for this year. We just put a range around it so I think it's generally in line with what we talked about. We do intend to generate additional free cash flow this year. We've not changed our posture with regards to how we view our cash. We're reinvesting into the business. We're certainly making sure that we can have a substantial and growing dividend, and we're looking for additional acquisitions as much as possible. If we start to generate significant additional free cash, we'll take a look, again, at the shares. But right now, that's just not the case.
Operator: And the next question comes from Andrew Wolf with BB&T Capital Markets.
Andrew P. Wolf - BB&T Capital Markets, Research Division: On the -- I wanted to ask, did the lower rates of inflation, did that help with the gross margin management? I know you said, sounded like you're just getting a little more acumen with managing it. But I just want to -- in relation to lower inflation, did that help? Do you think a lower inflation had any effect on the case growth?
William J. DeLaney: Andy, I'll start there. Sure, it helps. I mean, as we've talked over the last 2 or 3 quarters, there's a certain math to this whole inflation discussion. So when you go from 5.5% to 3.5%, give or take, that definitely helps. And it goes category by category, that type of thing. So there's no doubt that, that contributed to it, as well as I do think we executed, as I said, modestly better and there's plenty of room for improvement there. I think as far as case growth, I don't know that, that happens quite as fast. I know there's kind of this analytical way of looking at it. The key for us, I think, as it relates to the inflation is over the medium to long term, we've been very consistent on this and we truly believe it is that it's just better for our customers and our customers' customers if we can see a more moderate level of say 2 to 3 points of inflation over time. That's just a better environment for business, and whether it be our customers or ourselves. And so I think, if we can stay there and be relatively consistent and not have too much volatility in the respective categories, I think that's more of a medium-term benefit for us.
Andrew P. Wolf - BB&T Capital Markets, Research Division: Okay. On the case growth getting better, how do you -- how do we look at that or how do you look at that? Was any of that improvement or at same customers? Or was it really mainly new customers and really taking market share in that way?
William J. DeLaney: It's a combination of 3 things. We continue to improve our customer retention. That's had a lot of focus here, and we've talked about it somewhat publicly. So our customer retention numbers have improved over the last year or 2 and that certainly helps. We have seen penetration. That's obviously going to vary by customer and be somewhat dependent on how healthy their business is, but overall, we've seen some case penetration. And yes, largely or not largely, but we tend to do a good job on new business as well. So it comes from the 2 that you mentioned, which is new business as well as penetration. But also, again, just an environment like this, we just need to stay closer and closer to our customers and just minimize lost accounts.
Andrew P. Wolf - BB&T Capital Markets, Research Division: Okay. Are you willing to say if it's more one than the other?
William J. DeLaney: I'd be willing to say if I knew. I mean, it's actually -- it's hard to kind of get precise information on that, but I actually think it's a little bit of all 3, Andy.
Andrew P. Wolf - BB&T Capital Markets, Research Division: Fair enough. My last question is back to the pension freeze. I had to drop off the call for a second. Could you just give the swing, what this year's swing for that? I think you gave the numbers in -- or the numbers that get us to the math, either way.
Robert C. Kreidler: Yes. And actually, I think, we flashed the chart on the screen as we were going through it. But the net-net is an increase of about $25 million for this year, and it would have gone up over $100 million save for the freeze and then we expect it to be lower in '14.
William J. DeLaney: I think there's a broader issue here, though, Andy. And obviously, this is a very sensitive issue internally and it's just being announced today, clearly, throughout Sysco. So we've been looking at this for a period of time, and the reality is as growth has slowed industry-wise and even for Sysco, we've continued to see the liability of the pension plan grow meaningfully faster than the business is growing. So the broader picture here is that we needed to address that in a prudent way, and we feel that we have and we feel, as we communicate the new planned structure with the 401(k), I think our folks will find that it's a very competitive plan and provides a lot of opportunity to appropriately save for retirement.
Andrew P. Wolf - BB&T Capital Markets, Research Division: Absolutely. I mean, you definitely were one of the last companies with a generous pension plan. I just wanted to ask us one last thing about that, then I'm going to drop off, is from my understanding of these plans is they have different vesting, 20, 25 years and so on. And obviously, that helps to keep senior management in place. What's going to happen with those provisions? Are those also frozen, or does the vesting continue just with no more increased contribution?
William J. DeLaney: Which plans are you talking about, Andy?
Andrew P. Wolf - BB&T Capital Markets, Research Division: So your plans are fully vested without relation to time of service?
Robert C. Kreidler: No, the pension plan you do vest over time in the pension plan. What we're doing is we're freezing the pension plan. Whatever benefits you have today, you retain. All of your new benefits will come from a 401(k) defined contribution plan going forward. So upon retirement, what you'll have is the vested benefits in your pension from the date at which we froze it plus your defined contribution benefit that grew from that point going forward.
Andrew P. Wolf - BB&T Capital Markets, Research Division: Yes. So if somebody's a year away from the hurdle for vesting, next year it'll vest, it'll just be on today's amount.
William J. DeLaney: That's correct. And just a point of interest, I mean, our plans, I don't have the specifics but our vesting tends to be pretty much 100% within 5 or 7 years, something like that. So you vest relatively quickly here. So most of our people are vested, and then it will work like you say. And then what we'll be doing over the next few weeks is communicating the components of the 401(k) plan and so on and so forth.
Operator: And the next question comes from Michael Kelter with Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: I recall you guys saying in the past that 1% to 2% inflation is a sweet spot for you, and it appears like we're heading there. And I guess, my question is why won't your gross margins be up in 2013 if that happens if we hit your sweet spot? Or are gross margins going to keep going down regardless of the level of inflation because of the broader industry conditions?
William J. DeLaney: Well, obviously, Michael, we don't have the answers to those questions. Those are great questions. I would tell you, we've had now 1 quarter of 3% inflation, and it looks like this quarter's starting now in a similar way. So I mean, I think we will see some moderate inflation for a period of time. We're not clear on how long that'll stabilize given what's going on with the droughts and various things around the world. So I think we need to wait and see to some extent how this thing plays out here over the next 6, 9, 12 months. What I said and what I do believe is, I think, the lower inflation will take some pressure off of our customers, and that will take some pressure off of us, so that should support some of the initiatives we have to strike the right balance between growth and margins. But the other thing I'm saying is what I also said pretty consistently is this is different than 2 years ago or 4 years ago or 5 years ago. Until this economy shows more consistent improvement and until our customers participate in that, there's going to continue to be a lot of pricing pressure out there. So I'm not saying that we can't improve our margins over time, I'm just saying we need to take it one step at a time and right now, our goals are -- is to reverse the trends that we saw this past year.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And the spike in grain that you alluded to, I mean, what kind of a lag before something like that will hit your P&L? And when it does, whether it's a quarter from now or 2 quarters from now, whatever the right answer is there, should we expect that the pace of gross margin declines to accelerate again as we get into the heart of 2013?
William J. DeLaney: I don't know. I wish I did know and I wish I could give you more specific answers there. But typically, what happens is it takes a while for it to work itself through the food chain, into the meal for the cattle and the poultry and all that, so works its way through the feedstock and then into our cost of center of play items. And I would expect that, that will take 3 to 6 months at least for us to see that play out. And we'll just have to see how the business climate is in general. So we're not hiding behind that. We would love to see a nice, stable inflation environment but I'm just pointing out that we could see some pressure on pricing here later in the year. That's all.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And kind of switching gears, another thing, you had mentioned that in 2013 that acquisitions would drive over 1% to sales. That actually hasn't happened in 7 years, and so I thought that was interesting. I was curious if there was one specific acquisition of size that's in the pipeline that you're thinking about? Or if it's reflective of a bunch of smaller deals? And if it's one of size, is it in the U.S. or international? Is it a traditional competitor or somehow tangential? Just kind of a better idea as to where you guys are going on the acquisition side would be great.
Robert C. Kreidler: Yes, what we continue to talk about on the acquisition side is a string, as many as possible, of these smaller transactions that are, in combination, become meaningful to us, so that's what we said. We did 9 transactions for $270 million. Actually, I think, last year, we were above 1%. I'd have to go back and check my numbers, but I thought we were just above 1%. But our goal has been 0.5 to 1 point. What we're really pointing out is we're starting to accelerate that and we're starting to increase our pipeline. Our goal this year is north of 1% through a combination of these smaller-ish transactions. I don't want to characterize them as being small and meaningless. They're not at all. Every one of them is important to us, but they're smaller than the $500 million or $600 million regional-sized transactions that we'd love to get, but are just frankly very, very difficult to get and they don't come along very often.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And then lastly on these changes to the retirement plans. Just simplistically, is your pension expense no longer going to move with interest rates as we look forward? If -- I mean, just so I understand when you say a freeze, I mean, is that -- are interest rates no longer relevant for you?
Robert C. Kreidler: No, they're very relevant to us. We still have a $1 billion-plus pension plan that's out there that has to be revalued every year. What the freeze does is it stops growing in terms of the assets and the liabilities, so that's [indiscernible] the growth of it will now cease. The next step in managing our retirement plans is starting to go after the volatility of those assets, and we do have more work going on in that area as well. But as Bill said, this is something we've been looking at for a while. Pension expense has been going up significantly over the last few years. It was growing at a rate that was just frankly not sustainable, and so we needed to come up with a different set of plans that would be beneficial to our employees and to help with retention of our employees and help them plan for their retirements, while at the same time not causing our expenses to grow at a rate that's frankly our earnings could not sustain. So we've looked at a number of things. Step one is we've got to freeze what's there. Now we've got to go about looking at how we reduce the volatility of the liabilities that still exist on the balance sheet.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And are you guys still then at this point looking at what your assumptions are for your existing exposure? And how conservative do you feel like those assumptions are at this point given how long interest rates have stayed low and returns have stayed low?
Robert C. Kreidler: Well, so there are 2 separate components to figuring out the pension expense. Obviously, the first one is discount rate, which we unfortunately have nothing to do with. Interest rates drive down the discount rate. It's declined even more this year from a rate that I didn't think it could even decline from last year, so that cost us a tremendous amount of valuation and was driving our interest -- or driving our pension expense to be significantly higher for '13. The second component is the discount rate that you -- or sorry, the return that you assume on the portfolio. We evaluate that every year. You look at 70 years' worth of history on a portfolio of assets that you invest in. Obviously, the last 10 years are not good compared to that 70-year history, and so we're constantly evaluating, are we too aggressive? Are we too conservative? That's something we evaluate every year.
Operator: And our next question comes from Mark Wiltamuth with Morgan Stanley.
Mark Wiltamuth - Morgan Stanley, Research Division: If you look at the gross margin rate, I was curious how your new business wins look versus the existing book on the gross profit rate.
William J. DeLaney: Great question, Mark. It's another one of those ones that when you have as much new business as we have, I mean, you're talking about double-digit new business, it's hard to critique that, but I would say it's a mixture. Generally, the new business, as it comes these days, comes a little bit harder and a little bit more competitively. So I don't have a lot of data on that in terms of the entire company. But more than likely, it probably comes in a little bit less than the average would be my best judgment on that.
Mark Wiltamuth - Morgan Stanley, Research Division: Okay. And as we look at the business transformation savings as they come in, what kind of timing should we expect on that? Is this something that builds throughout the year? Or do you expect any quarters bigger than others?
Robert C. Kreidler: We've not given any quarterly breakout of that, but I think it would be fairly safe to assume it will build over time. Just as it's going to build over the 3-year period, it's going to build during each of those 3 years.
Mark Wiltamuth - Morgan Stanley, Research Division: Okay. And then on the inflation, what is your protein team saying? It seems like there's a pretty good chance you're going to be looking at much higher inflation next year. I'm curious what your thoughts are there.
William J. DeLaney: Well, we're seeing higher prices now in beef and poultry. And we're seeing deflation actually in dairy and produce right now, and then everything else is kind of around the average. So they're pretty much saying what we're reading and what I tried to say earlier, which is that we should expect to see some pressure as the year goes along.
Operator: And next we'll hear from Ajay Jain with Cantor Fitzgerald.
Ajay Jain - Cantor Fitzgerald & Co., Research Division: Yes, I just wanted to get some more color on your outlook, your near-term outlook for ERP in fiscal '13. So could you maybe talk about how much your guidance is in related as far as expenses and the projected cost savings? It looks like $150 million is still what you're roughly expecting on the cost savings side. But if at some point over the next year, it looks like you're not getting the benefits at the rate that you're currently looking for, I mean, would you still plan on absorbing as much as $350 million on ERP cost? How much variability could there potentially be on the expense side?
Robert C. Kreidler: Yes, Ajay, those 2 things really aren't tied. So as we tried to do during the Investor Day, we tried to explain that the expenses are primarily due to the technological implementation of our new ERP system. So the $300 million to $350 million, net of direct benefits from SBS, that's the expense that we plan to incur as we now implement and roll out the ERP system, and we gave guidance of 520 companies during the course of the year. Bill gave you a little more color about where the next 5 of those were going to be. So that's kind of part A. Part B is we also have the business transformation initiatives, cost-saving initiatives, that do not rely upon that technology to go forward. And so we're going down the road on a variety of those that we outlined in great detail, and that's where we expect to receive the 25% of our overall benefit in the first year.
Ajay Jain - Cantor Fitzgerald & Co., Research Division: Okay, that's helpful. I just had one follow-up question. It's maybe just a variation of some of the questions that have been asked on inflation. So just wondering internally, how concerned are you guys based on the current weather and drought conditions that a lot of that recent volume improvement, case volume improvement, begins to slip away very quickly if inflation starts to get out of control?
William J. DeLaney: I don't think we're overly concerned, at least, not any more concerned in the last 2 or 3 years, Ajay. I mean, it's part of what you deal within this business and when you put it in the context of some of the other challenges that we have out there in terms of the marketplace and our customers' ability to grow and that kind of thing, I think it's certainly -- we take it seriously. But it's also -- comes into the bucket that we don't really have much of an ability to influence it. So I wouldn't -- I'd be probably more concerned about the economy and whether we can see a little bit more stability and a little more consistent improvement there, because then that creates a mindset in the consumer wanting to go out to eat more, and that's always the key, I think, for our business is that people want to go out to eat and they're not totally focused on what it's going to cost or how many times they go out and all that kind of thing. I mean, right now, our information is a little dated, but we're still seeing increases in traffic and check size. And it varies between concept and that kind of thing. But we just need to see improved -- consistently improving psyche of the consumer, and I think we can weather the rest of it.
Ajay Jain - Cantor Fitzgerald & Co., Research Division: So can you comment as far as quarter-to-date have volume trends deteriorated at all sequentially?
William J. DeLaney: I really can't. As I mentioned earlier, we just don't do that. But again, you know us real well and we play in the entire space in this market so to the extent that you're seeing softness out there, we would certainly expect to participate in some of that as the quarter goes along.
Ajay Jain - Cantor Fitzgerald & Co., Research Division: And finally, can you confirm if there were any quantifiable ERP benefits in the fourth quarter?
William J. DeLaney: We really didn't look at it that way, to be honest. I'm sure they were modest, but essentially what we have said is -- what Chris just talked you through, is we've laid this thing on in terms of our roadmap, and we're looking to knock down about 25% of that cost savings here this year. And it's going to come from operations, it's going to come from SG&A and it's probably going to come a little bit more toward the end of the year than at the beginning of the year.
Operator: And our next question comes from John Ivankoe with JPMorgan.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: At this point, I think it's fairly short. You made a comment, and I think it was Chris that did, I don't remember, talking about expending Sysco beyond the core over time. And I guess, is that a 2013 event? Is that the type of technology initiatives that may come from Sysco ventures or are there other things that we should be thinking about in near-term significance just to put some parameters around that?
William J. DeLaney: John, it's Bill. I think that was actually in my prepared comments. So Chris can take a break here. No, it's no different than what we've talked about before. I think, again, in terms of our communications and messaging, we want to make sure that all of our constituents understand that we're primarily focused on the core right now. We've got a lot going on, a lot of opportunity out there. But yes, we continue to look for ways to grow in an adjacent manner. And over time, we still would like to grow international. But I didn't put a timeline on that as much as I said. Over time, I think was actually words that I used. So it's more of a strategic objective here over the medium term.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Okay. And you said outside the core is international as opposed to something within the U.S.?
William J. DeLaney: Well, it could be -- we could look at adjacencies of the Sysco ventures as you mentioned as kind of bridges both as you start talking to folks who have opportunities for us to partner with in terms of business solutions that are more technology-driven, those types of things. But the attraction there, obviously, is to create a stronger relationship with our customer base and more traction to help them grow and to solidify our position with our customers over time. So no, it would be both adjacencies as well as international.
Operator: And our question comes from Meredith Adler with Barclays.
Meredith Adler - Barclays Capital, Research Division: I first want to just talk about the money, the 25% of savings that you're expecting to get this year. That isn't really part of business transformation process, right? Those are a whole set of separate initiatives that you've started working on last year -- or this year, I should say this year, is that right, '12?
Robert C. Kreidler: No, we view all of the initiatives that we have undertaken as part of the transformation of our business from what was the old the business model, if you will, to what needs to be the new business model in order to compete going forward. Many of them originally were described as being enabled by this new ERP system. And as we got further and further into the ERP system design and implementation, we realized we did not need to wait on the ERP system in order to attack some of these other business transformation initiatives. So now we're talking about them as separate streams of work, but it's all under the moniker of business transformation because frankly most of this is different than what we've done before.
Meredith Adler - Barclays Capital, Research Division: So they're not actually benefits from the ERP system, there's just other ways to save money?
Robert C. Kreidler: Yes, that's fair. I mean, again, business transformation is not ERP. ERP is the technology change that we set out to put in place several years ago. And again, the original plan if we step back before my time, but I certainly understand it now, the original plan was if we're going to do through all the work to develop and design a new ERP system that changes all of our processes, everything about how we go to market, let's go and do this operating company by operating company and change the business model one at a time. So everything was really on one kind of rollout schedule. As we got further into it, we realized it doesn't need to be done that way, and especially as the ERP implementation slowed down, we realized we needed to go faster on the rest of it. So we just disconnected them.
William J. DeLaney: Meredith, if I could just jump in there, I want to -- there's a key point and I think it's key to anybody who would be listening to this call, inside or outside Sysco. If you go back to our May presentation there with all of you, we took a fair amount of time to reframe this deal and to, if you will, rebrand it to some extent from a standpoint of what Chris just took you through. So business transformation is essentially us coming to grips with what we need to do, the changes we need to make in terms of our processes, how we go to market to continue to enhance our leadership position in this industry going forward for the next 5 or 10 years. Now 3 and 4 years ago, when we had more of a design than anything else, we bundled it all together in terms of one. So where we sit today, we're talking to you about deploying the technology platform effectively throughout Sysco so that's one big bucket. And then we're talking about taking a look holistically at all of our practices in terms of how we run the business, selling, general, administrative, all the different things that we do, how we organize the company and revisiting those, some of which, as Chris said, would have been part of the original business case for 2012, a few of which weren't; many of which do not require new technology platform to get those going because a lot of it has to do with a more consistent go-to-market implementation of our business practices. And then third is sitting down and partnering with our suppliers, our product suppliers and finding more efficient and more effective ways of sharing cost savings on product, and at the same time doing it in a way where we can grow the business. So this is a key point. The business transformation going forward for Sysco encompasses all 3 of those buckets, if you will, and not just the technology platform. Now we can't get to the finish line without the technology platform. So that remains very foundational, as I said, in my comments. But it's just one piece of it.
Meredith Adler - Barclays Capital, Research Division: Okay. And I guess where I was confused is I thought some of these new cost saving initiatives truly were new and had not originally been envisioned when you laid this out. But you're saying it's just an acceleration of how you implement those things.
William J. DeLaney: I'm saying there's a lot of that, and then I'm also saying, look, we're running a business here, right, so we're somewhat behind on the deployment schedule. We've got some cost overruns, so we're running the business and we've taken stock over the last 6 to 9 months of other things that we can do in the company to offset the cost overrun. So it's a combination but largely it's an acceleration of the original business case.
Meredith Adler - Barclays Capital, Research Division: Great. That's very clear. I have one other question. This wasn't a great year for the company as a whole, and I don't know how that compared to your internal plan. But I was wondering what happened with bonuses for the company this year? Were they up or down versus last year and kind of how did that play out over the quarters?
Robert C. Kreidler: Well, we haven't actually talked about bonuses internally, but I can describe our bonus objectives to you. From the corporate perspective, we basically had 3 bonus objectives: The one was sales, which we have actually achieved our plan and actually somewhat exceeded our plan in terms of sales. We had one that was operating profit and that, of course, was as you -- I'll use your words, was not good in terms of the year. And then one was return on invested capital, and that one kind of went the same way as operating profit. If you don't get your earnings, it's very hard to achieve your ROIC objectives as well. So while we haven't, I don't think we fully ruled on what the bonus outcome is to the employees, that's the general sense of where we were. Compared to last year from a corporate perspective, I would say we'll definitely be lower than the last year, where we had a slightly different bonus plan. Now the operating companies have their own bonus plans. Typically, they're tied partially to the corporate, their leadership team, but then also predominantly to their own performances. So those are going to vary depending upon the performance of the operating company.
Meredith Adler - Barclays Capital, Research Division: And have you -- the fourth quarter numbers, do those reflect any assumption about bonus for the year, or is that something that gets actually recorded in fiscal '13?
Robert C. Kreidler: Yes, we had already adjusted and accrued appropriately for where we thought the payouts would be.
William J. DeLaney: So, I think, Meredith, just I'll pile on here a little bit. You're going to see different results on bonus so you won't see them but, obviously, we had some operating companies that performed well above plan and plan, and those folks will make some bonuses and some who didn't. To Chris's point overall, we didn't achieve our earnings goals for the year, so we will not hit our target bonus, but we will pay bonuses this year. I don't know what it is compared to last year to be straight with you, but as Chris also pointed out, we moved to more of a plan-based bonus structure this year and, I think, in the end I think you're going to find it to be very appropriate.
Operator: And with no further questions, we'd like to thank you all for your participation. You may now disconnect.
William J. DeLaney: Thank you.